Operator: Welcome to Celsius Q3 2016 Earnings Conference Call. [Operator Instructions]. I would now like to turn our conference over to your host Cameron Donahue, partner of Hayden IR. Please go ahead.
Cameron Donahue: Thank you and good afternoon everyone. We appreciate you joining us today for Celsius Holding's third quarter 2016 earnings conference call. Joining me on the call today are Gerry David, Celsius Holding's Chief Executive Officer, and John Fieldly, Chief Financial Officer. Following the prepared comments we will open the call for your questions and instructions will be given at that time. We have filed a quarterly report with the OTC Markets, and issued a press release today. All materials are available on the company's website at Celsius.com under the investor relations section. As a reminder, before I turn the call over to Gerry, the audio replay will be available later today of the call. Please also be aware that this call may contain forward looking statements which are based upon forecast, expectations and other information available to management as of today November 10, 2016. These statements involve numerous risk and uncertainties including many that are beyond the company's control. Except to the extent required by applicable law, Celsius Holdings undertakes no obligations and disclaims any duty to update any of these forward looking statements. We encourage you to review in full our safe harbor disclosures contained in today's press release in our quarterly filings with OTC Markets for additional information. With that, I'd like to turn the call over to Gerry David, Celsius Holding's Chief Executive Officer for his prepared comments. Gerry?
Gerry David: Thank you, Cameron. Good afternoon everyone and thank you for joining us today. Our third quarter revenue of $6.7 million was again another record high for our company representing an 87% increase over the same quarter last year in addition and unique to this quarter our growth was driven by increases in both domestic and international sales. The broad appeal of our products drove domestic growth of 53% across a variety of distribution channels including 54% growth in retail accounts arising mainly from expansion of convenience store distribution initiatives. 80% growth in health and fitness accounts and 13% growth in Internet retailer accounts. Increased sales volume was the underlying driver of these impressive growth numbers as opposed to increases in product pricing. This increased volume combined with reductions in our cost of materials and the operating leverage inherent within our business model drove higher gross profit and margins as a percentage of revenue, gross margin for the third quarter improved by 200 basis points to 43.3%. We will continue to look for additional opportunities to expand our margins as our business continues to grow. Subsequent to quarter end we announced our plans to join forces with U.S. military branches to make Celsius products available on U.S. Army, Air Force, Navy and Marine Corps bases globally. Our products will initially be available to US troops and more than 550 Army and Air Force Base stores worldwide Eurpac Services Incorporated or ESI is the broker and distributor of our partnership and will provide complete collection of services across the Military Channel retail supply chain to include the exchange, Navy Exchange Service Command, Marine Corps community services and the defense commissary agency. ESI's portfolio of services include distribution, retail headquarter services, advertising retail space planning business analytics consumer engagement, [indiscernible] marketing and merchandising We are honored to have the opportunity to offer U.S. military personnel with a healthy alternative to traditional energy drinks. We are optimistic about the growth potential from adding yet another distribution channel and this opportunity in particular which will provide both domestic and international product placement. The Celsius 7-Eleven relationship continues to grow both in number of stores as well as our BPOs. The Celsius healthy alternative to traditional energy drinks is being well received by the 7-Eleven consumer as well as corporate management. We have exciting promotional plans for 2017 for 7-Eleven. Our international business gain additional traction during the quarter with revenue growth of 147% over last year. This triple digit growth was mainly driven from our Sweden Finland distribution partner. Our business has normalized in Sweden as anticipated and the successful launch in December [ph]. Our Sweden Finland partner continued to shore up their senior executive team with the third edition coming over from Coca-Cola. Celsius continues to be ranked as the number one fitness and number two energy brand according to Nielsen in Sweden. Our trade launch in Singapore with our partner YHS Singapore is scheduled for tomorrow November 11th. The launch will be a multi-faceted event attended by retailers including grocery, convenience specialty chains and health clubs. Key distribution partners will also be in attendance. The event will be covered by the media, influential guests will be in attendance including well known fitness trainers. The launch in Singapore provide Celsius its first foothold in the Asian market. Advancing our marketing programs continued in the third quarter with a renewed partnership with multi-platinum recording artist Flo Rida, the 30 month partnership agreement includes a national advertising campaign, private concert, [indiscernible] and social media integrations and sales and distributor incentives. Flo Rida will also lend his support to a national contest at Gold's Gym Corporate locations centered on the success of Celsius at their clubs. The contest will provide consumers VIP prizes as well as an incentive for the Gold's gym trainers and staff to win an opportunity for Flo to work out with them at their facility. We are thrilled to continue our relationship with Flo Rida which began in March of 2014. Flo Rida has helped broaden the brand recognition of Celsius through social media and support in numerous appearances. Flo and Pitbull's recently released music video, Green Light with over 18 million views has Flo wearing a Celsius racing outfit. Flo Rida's music video My House where Celsius is featured three times in the video now has over 171 million views. Celsius relationship with NASCAR driver Blake Koch has provided tremendous brand awareness this season. Going into the final two races of the season Blake is ranked fourth overall in his vying to remain in the top four position and competing on November 19th in Homestead, Florida for the NASCAR XFINITY championship. Blake's success this season provided countless interviews nationally on NBC, NBC Sports Network and Fox Sports drinking clearly the Celsius product. Strategic product placement continues through Celsius as our product starting this week will be provided to the contestants celebrities and staff backstage of the voice live shows through the mid-December, the product demand by Dancing with the Star professional dancers as well as a well-known celebrities continues at a strong rate. Our strategy to expand distribution to increase sales and improve profitability delivered tangible results in the third quarter. Moving forward we are continuing with this roadmap to build upon our success and further grow our business. John Fieldly and I made several presentations to investment in firms and their brokers in New York and spoke at investor conferences sharing the existing Celsius story in all cases our corporate overview was well received. We have been the best kept secret that there is quickly changing. We have the right product at the right time for the global consumer markets with that I now like to turn the call over to John to discuss our financial results. John please go ahead.
John Fieldly : Thank you, Jerry. Total revenue for the third quarter of 2016 grew 82% or $3 million to 6.7 million compared to 3.7 million of a he corresponding period in 2015. This revenue growth of 82% was primarily driven by a 147% increase in international revenues. As a result of a full quarter of normalized revenues from our Swedish distribution. As well as re-orders from our newly launched Finland expansion. In addition domestic revenues grew 53% during the period. This domestic growth rate of 53% was derived from a blended growth rate of a 54% growth in retail account sales volumes from expansion efforts in convenience store distribution initiatives as well as continued growth and existing customer sales volumes. In addition our health and fitness accounts continue to grow at double digit growth rates reaching an 80% growth rate during the period. In addition Internet retailers grew 13% from the same period in 2015. Gross profit for the third quarter grew $1.4 million to $2.9 million from $1.5 million in the prior year and gross profit margins improved 200 basis points to 43.3% of revenues. This margin improvement was driven by both higher sales volumes and a continued focus on cost reduction initiatives and supply chain improvements. We continue to remain focused on improving and maintaining gross profit margins. Operating expenses in the third quarter of 2016 increased 557,000 to 2.8 million up from 2.3 million in the prior year period. This increase was associated with an increase of 92,000 in sales and marketing expenses associated with investments in human resources and increases in warehousing expense which were offset by saving the marketing programs. General and administrative expenses were also a driving factor in higher operating expenses increasing 464,000 primarily due to increased option expense, hire professional fees and office related costs. Total other expense was approximately 58,000 for both the third quarter of 2016 and 2015. Net loss to common shareholders for the third quarter of 2016 was a loss of $93,000 or approximately $0.00 per share due to revenue. Compared to a eight $895,000 or $0.02 per share basic and diluted for the corresponding period last year. Our net losses available to common shareholders and are inclusive of preferred dividends. For the three months ending September 30, 2016 and 2015 the net loss -- net losses include preferred dividends of a 103,000 and 85,000 respectively. Excluding preferred dividends the net loss of the third quarter of 2016 would have been a positive net income of $10,000. As a result of increases in revenues and through gross profit margins, operating expenses for the quarter included non-cash expense including depreciation, amortization and stock based compensation which totaled approximately 311,000 to a 125,000 last year. Adjusted EBITDA for the quarter was a positive 379,000 compared to a negative adjusted EBITDA of 625,000 for the corresponding period 2015. We believe information concerning adjusted EBITDA and non-GAAP financial measure enhances the overall understanding of our financial performance and reconciliation of our GAAP results this non-GAAP measure was included in our earnings release. Now moving to the year to date results. Total revenue for the first nine months of 2016 grew 27% to 16.5 million compared to 30 million for the corresponding period of 2015. This growth was primarily driven by 64% increase in overall domestic he mastic revenues resulting from blended growth rates of 76% growth in domestic retail account sales arising from convenience store expansion initiatives and a continued growth from existing retail accounts which grew 38% versus the prior year period. In addition our health and fitness on a year to date basis grew 52% and Internet retail accounts grew 31% from the same period in 2015. This domestic growth rate was offset by 8% decrease in international revenues from our Swedish distribution partner. As I recall prior conference call and earnings release we have mentioned that our Swedish distribution partner was adversely affected in 2015 as a result of their acquisition and transition to new ownership and a new management team. As a result this transition adversely impacted revenues during the first quarter of 2016, but as mentioned earlier we have started to experience normalized ordering patterns during the second quarter and third quarter of 2016 and we have confidence in the new ownership and management team to continue to build the Celsius brand in Sweden and now in Finland with this year's expansion. Gross profit for the first nine months of 2016 grew to 7.2 million or 43.4% of revenues and margins improved a 190 basis points compared to gross profits of 5.4 million or 41.5% of revenues for the corresponding period last year. This improvement both in dollars and in margin was driven both by increased volume and improvement in supply chain efficiencies. Operating expenses in the first nine months of this year or 9.6 million up from 6.2 million in the prior year period. This increase was due primarily to increased sales and marketing related investments in marketing programs and human resources and higher general and administrative expansion resulting primarily from increased in professional fees. Total other expense for the first nine months of 2016 decreased to 171,000 down from 265,000 in the same period last year as a result of lower interest expense. Net loss to common shareholders for the first nine months of 2016 was 2.9 million or $0.08 per share -- a loss of $0.08 per share basic and diluted to compared to a net loss of 1.3 million or $0.04 per share basic and diluted for the first nine months of 2015. Net losses of the losses attributable to common shareholders and are inclusive of preferred dividends. The first nine months ending September 30, 2016 and 2015 the net losses include preferred dividends of 276,000 and a 193,000 respectively. In addition operating expenses for the first nine months of 2016 and include non-cash expense, including depreciation, amortization and stock based compensation which sold approximately 1.4 million compared to 1.2 million last year. Adjusted EBITDA for the first nine months of 2016 was a negative 1.1 million compared to a positive adjusted EBITDA of 366,000 for the first nine months of 2015. This was a result of increased investments in marketing programs and human resources in the first nine months of 2016 versus the prior year. Turning to the balance sheet for just a moment, as of September 30, 2016 the company had cash and cash equivalents of 7.8 million and working capital of 11.7 million. At this time we believe our current cash will be sufficient to meet our anticipated cash needs for the next 12 months. Cash used in operations during the first night months totaled 2.3 million compared to cash provided by operations of 945,000 for the first nine months in the prior year and has reiterated before and since the result of the continued investments and human resources and marketing programs was offset by improvements in gross profit margins and sales volumes. That concludes our prepared remarks. Operator you may now open the call up for questions. Thank you.
Operator: [Operator Instructions]. Our first question today comes from [indiscernible]. Please go ahead.
Unidentified Analyst: So we recently just got to see the new design of the packaging for Celsius at NAX [ph]. So I was just wondering to see if there was how that might affect sales and distribution sort of the thinking and motivation behind that and what that means for the company.
Gerry David: The new packaging actually goes in the production this month. Some of the flavors and the next month is following flavor so by the end of December we would have done production on all of the new packaging. The idea behind the new packaging was to clean up the can to move us to the next level to really hone in on what we feel the brand needs to exemplify as a lifestyle brand and it was extremely well received when we unveiled it at the max conference and anybody any of the retailers that we've shown it to have all absolutely loved the new can and the new look. We feel that it's present on the shelf will actually pop better and the messaging will be much clearer and more honed in. The plan is we have managed our inventory levels to proper levels but if any new client comes on and places and order the beginning all the new cans and we plan the inventory so there won't be minimal overlap as we move into the new can and the new design. The other concept here with the new can is iconic see that we get the block-c at the top, the top portion of the framework of the can will become our global identity. So whatever country we go into going forward on a global basis we will have that top frame will be consistent across all countries so we have a global branding as you know depending on what country we’re in because of regulatory for products each country are limited in what you may say about the products so the bottom portion of that front panel on the can will be customized per country on what can be said or what can't be said. So it's really positioning us as a global branding and also the more hone in our on the messaging us becoming a real life style beverage for everybody had on a daily basis.
Operator: [Operator Instructions]. Our next question comes from Kevin Plunkett of Triple Crown Homes. Please go ahead.
Kevin Plunkett: Let me ask you about the internet sales first, I was surprised that the number was so [indiscernible] 200 on that.
Gerry David: Well to put it in perspective our internet sales that we do now on a monthly basis was when we were doing on an annual basis four years ago the product continues to grow there, our growth of 13% related to for that quarter on internet sales is of much larger number, so we’re seeing some very good growth there and it's primarily coming from Amazon as well we're seeing the growth. We also are enjoying their increase in the number of people that are on Auto Shift which is a key part of really solidifying net revenue on a long term basis and we're also continuing to see record numbers of people giving us reviews of 4.2 or higher on a five rating so that's worked out well of course we just made an investment in with an individual that for 10 years was a key executive management person within Amazon and did a complete review of our marketing efforts there as well as analyzing data with us and we've gleaned a lot of great information that will help us continue to grow there and even accelerate our growth more than what we’re currently enjoying. So that business has been very good to us.
Kevin Plunkett: Also I would like to ask a little bit about drilling deep and that was a successful platform and didn’t [indiscernible]. Are you still do Pandora and are you focusing on in places like California, Texas and maybe South Florida for Pandora?
Gerry David: Well Pandora is actually during the last couple quarters we had cut back on Pandora and we are redirecting our spending and marketing to some other initiatives. Pandora coming towards the end of the fourth quarter going into the new year and into first quarter is we will be making a significant spend on Pandora and we will be geo targeting Pandora into the specific markets with the specific messaging for each of those markets. It's a great provide us a great flexibility and provides us great focus to do that. The Pandora will be utilized now going into the New Year in a different manner. So yes.
Kevin Plunkett: Congratulations on your 7-Eleven they call it acquisition you made. Can you shed a little bit more light on what kind of promotional item you're going to have there that might increase sales beyond belief?
Gerry David: Well first thing is we have an EDLP and everyday low prices for the $1.99 that we have negotiated with them which positions us extremely well against any of the other energy brands in there or lifestyle type brands. We also have from a promotional standpoint part of our Pandora spend will be directing people in specific markets into the 7-Eleven in their area. We also are as we did during this year we actually ran some promotions within 7-Eleven related to NASCAR where we had posters in windows of many of 7-Elevens promoting the Daytona race and so forth, promoting the brand obviously. So we're working through several other initiatives going into the new year with 7-Eleven and contests actually even for store managers and as you know 90% of the 7-Eleven's are franchisees and we just presented at the National Conference for what they call the FOAs, Franchise Organization Association and that's where all the presidents that represent all the franchise owners that attend that and we were extremely well received there. And we just currently had a meeting at 7-Eleven at corporate, our product is really being viewed by 7-Eleven executives as a case study as it relates to healthy -- introducing a healthy energy product into our corridor where our product is featured next to the other major energy drinks is the most prized door [ph] in the entire store and that’s where our product is positioned. So we're excited about the opportunity there and we're excited about results that we’re seeing.
Kevin Plunkett: I’ve one last question and that is [indiscernible] looking forward here in Florida public see premier grocery store. I noticed that you went up a shelf and now you’ve three boxes of Celsius. I was wondering when you might expect great -- the newest flavors, grape or when you might add a fourth flavor.
Gerry David: Yes we have met with the people [indiscernible] they have approximately a little over 1100, we’re in 1100. We do very well there with [indiscernible]. We have some strategies that we're working on right now to add additional flavors and we have our meeting coming up actually next month I think with the buyer for the category. We're also have a strategy that we're working on to actually start to move into in many cases the beverage aisle versus the diet and nutrition aisle or the HVC [ph] area. So which has -- the beverage aisle has the much higher traffic pattern to it so. We have a very -- I'm very confident in our marketing strategy going into this next year. It's a robust strategy, it allows for potentially multiple placements within any given store in the grocery chain so we're excited about that.
Operator: [Operator Instructions]. There are no further questions at this time. I would like to turn the call back to Gerry David for closing remarks.
Gerry David: I would like to thank everyone today for taking their valuable time to be on this call. This call gives you a little snapshot into the company and our direction where we're headed. My confidence level continues to grow in the business, our team continues to grow with just highly qualified individuals. The results that we're seeing is really about our team and it's about the effort of people on the ground working in a corporate as well as out in the field. We’re making significant investments not only on the domestic side but on the international side as we talked about tomorrow we're launching in Singapore, that's our -- we’re all putting our foothold right into the Asian market. We are our plans is to grow within the Asian market and that's through our strategic partnership with some of our key investors such as [indiscernible]. So I can only share with you that my confidence level is very high for this for the company and going forward 2017 I'm excited to move into 2017 and see some significant results. I have to say that we're finally fully reporting we filed a Q today, our first Q and we are fully reporting SEC company as of today, there was a lot of work that went into that. It positions us for much better for the investor community. John Fieldly and I will be speaking in the first week in December at the LD Micro Conference. We also will be back up in New York meeting with investor brokerage group's in the mid-December. So we're going to continue to get the message out about the company to the investment community and this great, great story that we have to tell. So I want to thank you all again for being on the call today and I really want to thank you for your continued support of the company. Thank you and have a great evening.
Operator: This concludes today's conference. You may now disconnect your lines. Thank you for your participation.